Operator: Welcome to the global conference call of Daimler. At our customer's request, this conference will be recorded. The replay of the conference call will also be available as an on-demand audio webcast in the investor relations section of the Daimler website. [Operator Instructions] I would like to remind you that this teleconference is governed by the safe harbor wordings that you find in our published results documents. Please note that our presentations contain forward-looking statements that reflect management's current views with respect to future events. Such statements are subject to many risks and uncertainties. If the assumptions underlying any of these statements prove incorrect, then actual results may be materially different from those expressed or implied by such statements. Forward-looking statements speak only to the date on which they are made. May I now hand you over to Steffen Hoffmann, Head of Daimler Investor Relations. Thank you very much.
Steffen Hoffmann: Good morning, ladies and gentlemen. This is Steffen Hoffmann speaking. On behalf of Daimler, I'd like to welcome you on both the telephone and the Internet to our Q2 Results Conference Call.  We are very happy to have with us Ola Källenius, Chairman of the Board of Management of Daimler and Mercedes-Benz AG; Martin Daum, member of the Board of Management of Daimler AG, responsible for trucks and buses and Harald Wilhelm, member of the Board of Management of Daimler, responsible for Finance and Controlling and Daimler Mobility. In order to give you maximum time for your questions, the three gentlemen will begin with a short introduction directly followed by a Q&A session. The respective presentation can be found on the Daimler IR website. Now I'd like to hand over to Ola.
Ola Källenius: Thank you, Steffen. Welcome, and good morning everybody. And thanks for joining us this morning. We certainly have had to endure a complex quarter three months that have been dominated by the COVID-19 pandemic. And as we informed you last week, we recorded a net loss in this quarter, but our results in the second quarter were partially above market expectations, in particular on the free cash flow. And in general, I think it's fair to say that our management of the challenges from COVID-19 is working and at the same time, we continue to make progress on our long term strategic course, and our efforts to lower the breakeven of the company. For starters, let me briefly take you through the second quarters key topics. And I would like to make four main points this morning. Number one, we initiated a large number of measures to protect our cash position in this quarter. And our robust net industrial liquidity is a testament to the effective cost control and cash management. Harald, will follow up on this in his part of the presentation this morning. Number two, we're seeing the first signs of a sales recovery. While the markets slumped like never before in a quarter, our unit sales were better than expected, especially at Mercedes-Benz passenger cars, with a strong demand for top end models and electrified vehicles. In China, our passenger car sales set a new Q2 record level. And also our vans had their best ever sales quarter in China. And in recent weeks, order intakes of trucks turned positive again in nearly all of our core regions. Number three, we continued improving the cost base of our company, while our previous efficiency goals targeted the upcoming transformation, they did not anticipate the sudden and steep global recession. And that's why we have reinforced these efficiency measures. One example, we initiated adjustments of our global production network capacity to match the expected market environment. And number four, we are working with full focus on our key strategic objectives, leading in electrification and digitization, all the core product projects in spite of COVID have progressed according to plan. And we have also in the past months announced some major partnerships in this regard. Our joint venture with Volvo on the fuel cell technology, Martin will allude to this. Our partnership with a battery cell supplier Farasis and finally our partnership with NVIDIA to develop a smart computer architecture for automated driving functions. The first two points, they give us confidence in dealing with the COVID-19 recession in the short term. And the last two points give us confidence in building our mid and long term future. That said, let's talk numbers. And that's Harald's home turf. Harald, would you mind taking over.
Harald Wilhelm: Thank you very much, Ola. And Hello, everybody. I hope everybody is safe and healthy. And I'm very happy to take you to sort of Q2 numbers now. Yeah, without doubt, the Q2 was the challenging from all perspectives. However, following a better than expected market recovery and a strong June finish in terms of performance. Daimler’s Group adjusted EBIT, Mercedes-Benz cars and vans adjusted EBIT and Daimler’s industrial free cash flow for the second quarter of 2020 came in better than expected which triggered the talk we did last week. So yet the unit sales decreased significantly by 34%. We sold 542,000 cars and commercial vehicles worldwide. The total reported EBIT amounted to minus 1.7. Last year's Q2 EBIT reported was heavily impacted by various one-time issues. So therefore, let's focus on the adjusted EBIT figures, if we compare year-on-year, the year-over-year performance. The adjusted EBIT, which reflects the underlying business in Q2 declined to minus 708 million. Key reasons obviously for the situation were the lower unit sales and revenues across all divisions in the quarter that was significantly hit by the COVID-19. At the same time, cost of sales have been adjusted more or less accordingly, and reductions in functional cost and SG&A helped to reduce the losses. And yet, we also worked a bit on the free cash flow, as you can see with the Q2 results, so let's have a look at that a bit more in detail on the net industrial liquidity page four. As Ola said already, we focused early on cash preservation and cost management, and that started to materialize throughout the quarter. We maintained a healthy level of net cash and in particular gross cash slew out this complex quarter. On top, the favorable sales demand in June helped to improve further to deliver positive industrial free cash flow of €685 million. Therefore, we could end the second quarter with a solid €9.5 billion net industrial liquidity. Impact from working capital was in total favorable was €1.9 billion, close to €1.6 from cars and vans and about €300 from trucks and buses. As you know, in terms of production, we applied the brakes early and then restarted production outside of China by the beginning of May to keep pace with improving demand. With this approach, we were able to outgrow Q2 wholesale figures versus Q2 production figures by close to 60,000 cars and vans and more than 6000 trucks and buses, this obviously lowered quarter and stock accordingly. In a nutshell, where the markets slumped [ph] like never before in a quarter, our sales were better than expected. But above all, it is tough cost measures and our effective cash flow management that are having an impact. However, there's still a long way to go to normal mode, and we have to speed up by further cutting costs and adjusting capacities. The next point that stabilized quarter two free cash flow was that investments were diligently managed and did not outgrow depreciation as you can see on the chart. From a liquidity perspective, we find ourselves in a rather comfortable position, despite the current circumstances. As you know, in April, we secured our financial flexibility with a further loan facility agreement in the amount of initially €12 billion. In addition to our existing €11 billion revolving credit facility, both have not been utilized. Due to our good access to the capital market, we were able to issue two benchmark bonds in the quarter. And with this, we protect our high financial flexibility. And I will say loud and clear, and I see no equity needs. Moving on to Mercedes-Benz cars and vans. In the quarter, we saw a rebound in retail sales on the car and the vans business side. Nearly all worldwide dealerships have reopened. In June we have experienced, I mean, a strong finish, so that the global retail deliveries increased slightly above prior year level again in the month of June. We see favorable development in model mix, in particular demand for our top end models was high. Just to highlight a few of them, the GLS, the S-Class Maybach, the SL, we were above prior year level in the second quarter. Looking at our powertrain mix in Europe, demand for our plug-in hybrids increased in the first half of the year, compared to the prior year. And we were progressing on the xEV share towards our 2020 target. By the end of the year, our car portfolio will comprise five all electric models in more than 20 plug-in hybrids, and we're enjoying a high level demand, in particular from our fleet customers. That's why you will see a strong ramp up in xEV unit sales in this second half of the year. Besides that, an important lever is the initiation of streamlining of our global production network and capacity adjustment connected to our operations in Hamburg, Tuscaloosa and Aguascalientes. Concerning the Hamburg plant, we are in talks with [indiscernible] and in Tuscaloosa, we take out the C-Class. in Aguascalientes the A-Class. Ola, mentioned already that we are joining forces within media on - in the field of driving assistance for our next generation fleet. I also would like to highlight at Mercedes-Benz vans we are pushing forward with electric mobility. The EQE and the eSprinter became available for orders since May and will strengthen our leading position in this segment. Now let's have a look a bit closer to sales developments throughout the year. As mentioned before, we already had made up I mean some ground in the quarter. If we look at the three core regions on the chart, we see very promising recovery patterns in group sales, in particular, with the early recovery in China, which started already in March. Ola, highlighted already, four months later, we achieved our best second quarter ever in terms of unit sales there. In the US and Europe, we saw a much slower ramp up than in China. While at the end of June, our China group sales year-to-date were 4.4% up versus last year. In Europe, we are at minus 31% and in the US at minus 16%. Let's have a look at the Mercedes-Benz cars and vans key figures. Page seven, unit sales were down 30% year-over-year. In revenues, that means 25% down to €19 billion. That indicates a better model mix. The EBIT adjusted amounted to minus €284 million, in this the vans were about breakeven. We saw a positive development in the cash flow before interest in tax which was €430 million positive and therefore significantly better than in the same period last year. Obviously, working capital helped a lot in that respect. In more detail, in terms of the earnings bridge. In the lower unit sales would clearly mean the key driver for the drop in EBIT over the quarter. However, we saw a very favorable mix development, with a higher total share of SUVs. Also pricing proved to be positive in the quarter with global at a stable level. However, within the pricing bucket, we took some residual value provisions in the low level, triple million digit figure. FX came in slightly positive, industrial performance was even slightly positive, supported by production efficiency, including short term labor effects and positive material cost effects, despite the severe ramp down of our plans. Due to extensive cost cutting, we're able to significantly reduce SG&A expenses, especially in the area of marketing spend. R&D expenses and P&L were at the level of the second quarter of 2019 due to ongoing investments in electrification of vehicles and further development of our product portfolio. In the other lines, you will find the changes of provisions inside a negative effect from the discounting of non-current provisions and a gain of €105 million from transactional selling shares in the HERE Group [ph]. In the second quarter, the EBITDA was burdened by charges for restructuring for €687 million, mainly for the streamlining of the production network, and capacity adjustments. This includes approximately €400 million from Hamburg and the remainder for Tuscaloosa and Aguas. Further, minus 101 million adjustments were booked for the restructuring for the cost optimization programs, which means people signing up for voluntary redundancy. And all of these initiatives in terms of capacity adjustment, as well as in terms of headcount adjustment will help to improve the structural cost base in the midterm to long term of the company. Looking at the cash flow chart, page nine. The cash flow before interest and tax adjusted also €522 million in the quarter, was thanks to extensive cash and measures. The major lever here is working capital with a pronounced reduction of inventories by more than 60,000 vehicles in the division. The net of payables and receivables in the quarter is awash. The change in working capital was therefore positive by €1.5 billion. As you can see, we also managed to reduce the gap between depreciation and net investments. However I'd like to bear your in mind that the onetime nature adjustment of depreciation linked to Hamburg, Aguas and Tuscaloosa is also included in here. And now Martin will take you through the development of trucks and buses.
Martin Daum: Thank you, Harald and a good morning from my side to all of you. The truck and bus markets experienced a weak second quarter of 2020 heavily impacted by the COVID-19. The market environment was already in a cyclical downturn before in the first quarter when the pandemic hit the global economy. Volume wise, especially in North America, the market lost of around half of its volume compared to prior year level. In Europe market contracted even more by nearly 60%. That drop affected all segments, but especially the heavy duty long haul business. However, after a hit in April, we see a significant improvement in incoming orders, especially in the North American market. Additionally, we put a strong focus on cash preservation measures, and progressive execution of restructuring activities to improve our long-term competitiveness and profitability. We also put the brakes hard on our fixed costs spending. Nonetheless, we have kept a clear focus on our strategic initiatives, just to name our expanding and intensifying activities around fuel cell technology. For Daimler Truck AG, fuel cell systems will play a decisive role in achieving CO2 neutral transport, as a supplement to our battery electric drive. The hydrogen-based fuel cell is a key technology of strategic importance in this context. We finished the transfer of all of Daimler's fuel cell activities to track AG and are well underway to start small serious production soon, and prepare a large scale production in heavy duty fuel sales commercial vehicles in the second half of the decade. Furthermore, end of May, Daimler Truck AG and Rolls-Royce Power Systems announced a planned cooperation on stationary fuel cell generators, as CO2 neutral emergency power generators for safety city [ph] facilities to further increase our volume based on this technology. The next chart shows you the weekly truck sales in our key markets, that show clear the significance of the COVID-driven decline in the second quarter. However, after the steep drop of sales across all markets in April and May, we saw a significant recovery in June, that will continue in the third quarter. We saw an increase in market share in almost all markets of the - for Daimler trucks and buses. Let's come to the key figures. How this is reflected? Certainly not good. The second quarter, we sold approximately 57,000 or 58,000 trucks, 54% less than in the prior year period. Global business unit sales declined by 63% to 3,000 units. Revenue at Daimler trucks and buses decreased by minus 46% to €6.2 billion. Besides truck sales drops in Europe and the NAFTA region, we have seen significant decline in Latin America experiencing an additional negative impact from economic crisis in Brazil. The bus market has also been very weak, in particular in Europe, Brazil, Mexico and India, all important markets for us. Especially North America, we still have a strong order board. So the decline in sales wasn’t [ph] triggered by the lack of market demand, but by the necessary and precautionary closures of all of our factories in the US and Mexico. With the reopening in June and steep ramp up in production, we will see an entirely different third quarter. As a consequence of the drop in unit sales, adjusted EBIT at Daimler Truck AG declined to minus €747 million. Especially in Europe and North America, volume was down significantly, driving the majority of the negative volume and regional mix effects. On the used vehicle side, we took a write-down on inventories in a mid double digit million euro range and tried to minimize future risks. Pricing proved to be stable through all the major regions. Industrial performance was largely burdened by a customer service measure at Mercedes-Benz trucks in the amount of a low triple million digit figure. Adjusted for this, industrial performance was balanced in the quarter, despite high additional cost for plant closures and the efforts which we have for all the precautionary necessaries to protect our people. The strict cost management in Q2 also resulted at Daimler trucks and buses in a positive development of all fixed cost areas. The cash flow in Q2 was more than €600 million above EBIT. Inventory reduction of around 7,000 units contributed significantly to this development and to a lesser part, a reduction of trade receivables. As you can see, we also could limit our net investments to be below our depreciation. The provisions we took in Q2 to prepare for future risk added to the positive cash development. For the Daimler mobility review, I will hand back to Harald.
Harald Wilhelm: Okay, thank you. Thank you, Martin. So, looking at Daimler mobility obviously, was also impacted by COVID-19, where we see that chiefly in a significant decrease in the in the new business. The quarter two [ph] EBIT at Daimler mobility was burdened by moderate adjustment of expected credit risk provisions and further adjustments in the YOUR NOW group. In the first quarter, we have already started to implement measures to withstand the headwinds. We have supported our highly - high quality customer base with good payment record and temporary payment holidays. And furthermore, we have supported our dealer network, for example, with flexible floor plan solutions to facilitate recovery after reopening. If we look at the key numbers, the new business decreased by 24% to €14 billion. The contract volume in the second quarter decreased by 6% to €154 billion, which is roughly stable with the first quarter. The portfolio decrease basically happened in all regions and also is impacted by a bit of a negative FX impact. However, in all regions we saw catch-up effects in acquisitions in June in line with what we said on the sales side, on the brand partners [ph] Looking at the EBIT evolution, page 17. The EBIT adjusted declined by 35% to €330 million. Higher cost of risk due to the worsening of the macroeconomic outlook could not be offset fully by benefiting by the benefits from cost saving measures. However, the increase and I'd like to emphasize again, of expected credit risk provision by €150 million in the second quarter was significantly lower than what we did in the first quarter. We could also reduce significantly the functional cost and the SG&A. As you can see on the chart, at the same time, we suffered also - a bit of higher funding costs in the second quarter, given the financial market volatilities. And furthermore we adjusted our investment in the YEAR NOW Group with an impairment of €105 million in the quarter. So what does all that mean? In terms of the group earnings page 18. I took you through the division numbers already. So the group adjusted EBIT [ph] for the second quarter is at minus €708 million, including minor reconciliation items. The adjustments at the group level are €974 million of charges, most of them I think I explained already before, in particular the €687 million for the adjustment and realignment of capacities, the restructuring expenses of €101 million, both at the Mercedes-Benz cars and vans. And all-in-all, if we look at the number or be it the minus 700 or be at the minus 1.7, I would somehow say with given the economic context and the unprecedented Q2 impact of COVID-19 the result looks acceptable. However, we are far from where we want to be. The bottom line in the second quarter was a material loss and also we can survive corona. So the short term work and radical short term cost cutting measures, we cannot accept our current cost structure in the long term. The threshold above which we are profitable is clearly too high. This structural challenge will not be solved in the next quarter. The recession would extend well beyond this year. And transformation is a task for the next decade. So we have to fundamentally improve our cost base and financial position. However, the experience in the second quarter makes us confident that we can do that. Looking at the cash flow at the group level again, same thing, we explained all of the division, I mean, elements in support of the €685 million free cash flow for the group. One point to add inside, that at the group level it includes a tax payment from Daimler Mobility to the industrial business of €271 million. The adjustment from CF [ph] to free cash flow includes the - from the free cash flow reported to the free cash flow adjusted includes €93 million from governmental and court proceedings and measures relating to Mercedes-Benz vehicles. Now, let's have a look at the guidance, page 20. The corona pandemic will continue to have a strong impact on the developments during the rest of year. Talking about the outlook, I think it's very important to outline the assumptions underpinning that. What are they? For the full year, we assume a significant decrease of all major automotive markets. For the second half of the year, we assume a significant recovery of the economy and of unit sales exceeding the first half. Compared to H2 2019, we expect H2 2020 cars and vans units to be slightly lower, and trucks and buses unit sales to be significantly lower. And we assume that we can continue the cost and cash measures, which we started in the second quarter. We - with all of that, we expect the group revenue to be lower than in 2019. What does it mean for EBIT and cash flow, assuming that economic recovery continues in the second half of the year, and that there is no new significant, new wave of COVID-19 infections in our key sales markets, we expect both, group EBIT, reported and the free cash flow reported of the industrial business to be positive in 2020, but lower than in the previous year. Moreover, we have taken numerous measures to sustainably improve our cost structure, and become significantly more efficient. Yet, we will continue to invest to ensure into the future to ensure viability of our company. With this, I hand back to Ola.
Ola Källenius: Thanks, Harald for walking us through the numbers. So what's ahead in the second half of this year and beyond? So we've already stressed last week, our systematic efforts to lower the breakeven of the company that will continue and will be intensified. We will work with full focus on reducing costs, increasing flexibility, and also adjusting capacity to market demand. In the autumn, we will present our all-new S-Class with it, our next generation MBUX system. The S-Class is our flagship model, and it will set new standards in the field of digitization. I think this vehicle like no other symbolizes Mercedes and also will strengthen the implementation of our strategic course. We want to sharpen the focus on our core, as a manufacturer of modern luxury vehicles. We still have great potential, especially on the upper end of the segments that we sell in. This is our home field advantage and this is our leading edge. And we will come back to you later in the year and give you a deeper insight into the strategy. The market launch of the S-Class will be followed by the EQS, the electric sibling in 2021, our first fully electric sedan based on an all electric architecture with a range of more than 700 kilometers according to WLTP. And of course, first, all electric compact Mercedes is - for instance, we will present the EQA also later in this year. We are strongly committed to our electrification strategy and our path towards CO2 neutral mobility. And of course, we also have full focus on the CO2 target for Europe this year, still five months to go and it is our goal to meet the targets. Our strong plug-in hybrid sales and upcoming EV models will help us on this path. There are some challenging months and years ahead of us. Nobody knows for certain how the COVID-19 pandemic will change our business environment in the long term. But we are very determined to build an exciting, successful and profitable future for Daimler. I would like to thank you for your attention. And now we are looking forward to your questions.
Steffen Hoffmann: Thank you very much, Ola, Martin and Harald. Ladies and gentlemen, you may ask your questions. Now the operator will identify the questioner by name, but please also introduce yourself with your name and the name of the organization that you're representing before asking your question. Please ask your question in English and as a matter of fairness, please limit the amount of questions to a maximum of two, to give everybody on this call the opportunity to ask questions. Now before we start, the operator will again explain the procedure.
Operator: [Operator Instructions] And the first question is from Tim Rokossa, Deutsche Bank. Your line is now open. Please go ahead, sir.
Tim Rokossa: Yes. Good morning, gentlemen. Thank you for taking my questions. It's Tim from Deutsche Bank. One for you Harald and one for you Ola. Harald, maybe if we start with you, because the big positive surprises you and Ola said in pre [ph] release of the free cash flow, and that's very good to see. Now during the Q1 call, you said you expect it to be negative in Q2. Was this surprise only driven by working capital? Or can you go into details about some of the other measures that help you to achieve this? And when we think about your full year outlook, a positive free cash flow below last year can mean quite a bit between zero and about €2 billion? Is this going to be a sizable positive number that you can actually do something with? Or will you just really barely make that? And then Ola, for you. A lot of press coverage lately was on your strategy, and you already just touched on this. We're hearing different numbers that you want to restructure every single day as it feels, and I suspect you're not yet ready, and in a position to talk about the actual number. But I would like to emphasize a little bit more on what you just mentioned on the luxury focus of you. And I think everyone on the call would agree that for a premium carmaker, it is a lot more important to focus on margin, rather than size per se. Now how do you want to fill that strategy with lights? You don't need to give us the details if you want to do that later this year, but should we think about a different incentivation of your sales organization? Shall we think about a percentage of your portfolio for high end models? Just like BMW has it for example, how exactly will you execute on that idea? Thank you.
Harald Wilhelm: Thanks, Tim. Short and sweet. Probably you could answer the remaining [ph] of the call - your questions, but we try to somehow keep it short. I mean, second quarter, cash positive surprise, not a surprise, as we initiated the measures early. We had expectation for sales, that clearly lead them into a negative free cash flow for the quarter. We reduced I mean, the production and the stock level. And that has been accelerated by the strong level of sales in June. And therefore at the very end of June, I mean, the cash flow turned into positive territory, where we certainly are very happy, but as you can see was 0.7, given the volatility also of cash flow is not a surprise. But obviously, we are satisfied and pleased with this. On the full year, let me give you a bit more color. Yes, it's a bit of a wide range. Important to read, however, what we were saying and what I'm going to say on that, in the context of the assumptions I outlined before, I'm not going to repeat them, but they are important, i.e., the sales recovery assumed in the second half of the year, and that we continue the cost and the cash measures What does it mean? The free cash flow reported, which we referred to, however, excluding possible expenses related to legal and governmental proceedings. We expect it, I mean, to be positive as said before, but prior year, below prior year level, and from today's perspective with all of the uncertainty left for the second half of the year, maybe that could be a high, triple digit million number. As a reminder, on the free cash flow reported, we adjusted the H1 cash flow by - a bit more than €500 million, in particular for restructuring charges and governmental and court proceeding measures. For the adjustments to come in the second half of the year, i.e., I mean, H2 2020, we see that at a similar magnitude, which means it could total adjustments of all in all a €1 billion. That should give you maybe a view of where SCS [ph] reported could be, but as well as SCS underlying. Maybe on the EBIT reported side, if I knock off that right away, if we put all together what we explained before, I could imagine that the EBIT reported could be a low positive four digit million number with all of the uncertainties however, I mean, in the in the second half year, I mean to come. And as you know, in the H1, we booked about 1 billion of adjustments. We will carry on our efforts in terms of restructuring, therefore these charges could double for the full year. And again, I hope that gives you a view where we see from today's point of view with all of the limitations and the uncertainties, the EBIT adjusted for the full year.
Ola Källenius: Good morning, Tim. As a true luxury carmaker, of course, it comes natural to us to focus on the upper end of the segments that we're operating in. So that will be the chorus [ph] going forward. In that context, the magic word is profitable growth, underlining profitable. So yes, we will focus on pricing power on sales contribution, managing and maximizing that. I don't want to go through the complete picture today, because we will invite you later in the year to have a more deeper look at this Mercedes strategy. Perhaps one comment you also mentioned restructuring and cost. I think it's pretty natural that when you have changing circumstances in the overall economy in this case, as a result of COVID, or more precisely, the potential aftermath of COVID. The transformation plan that we put together and presented in the late fall, we were well on track to deliver that transformation plan. Now we have a new set of circumstances. So we take a look again, and I think that we have demonstrated in Q2 that in terms of short term reaction to such a circumstance, we have done a reasonable job. We will then adjust our efforts on the efficiency side to drive the breakeven down. Long term though, we will lead in luxury, we will focus technologically in terms of transformation on electrification and digitalization. And yes, building on that pricing power is part of the picture. Thank you. 
Tim Rokossa: Thank you very much.
Operator: And the next question is from José Asumendi, JPMorgan. Your line is now open. Please go ahead.
José Asumendi: Thanks very much. José Asumendi, JPMorgan. Good morning, Harald and Ola. And just two topics. On C02 emissions in Europe, can you speak a little bit about which vehicles or technologies you think would take a larger share, especially, in Europe for, you know, for Daimler to be able to meet emission targets in Europe? Is it more 48-volt, plug-in or which vehicles do you think which will be key? The second, a little bit, at least, a bit more details on the - on restructuring. Are you done revising the production footprint, especially with regards to the provisioning in Hamburg, Aguascalientes and Tuscaloosa? And on union negotiations in Germany, when do you expect to close the negotiations? And can you confirm a ballpark number of how many workers would you like to reduce? Thank you.
Ola Källenius: Yes, of course. If we start with CO2. So, you know, we have a three-pronged approach, electrify our combustion engines with 48-volt systems. I think we are probably the leading premium manufacturer in this field, and that is in full force. That's the first piece of the puzzle. The second is plug-in hybrids. We have extended and will further extend our plug-in hybrid portfolio, and we have very attractive ones looking at from the bottom of the portfolio with A-Class with up to 70 kilometers on WLTP, and if we take the GLE, with up to a 100 kilometers in WLTP very competitive in the plug-in space and experienced extremely strong demand on that, particularly in Europe, but not only in Europe. And the fully electric vehicles, it's like every month it's going up and up. So it's all of those three contributing. We're adding one more now here in the late summer, is the EQV on the van side that will come into that portfolio. So it's literally every month is a bigger month on xEV’s than the month before. Having said that, we knew we came from a very challenging start, where we were at the end of ‘19. So as I've communicated several times, it is a challenge for us in 2020 and 2021, but we're very focused on this targets and determined to do everything we can to reach them. If we talk about, let's see, what did we have here? Our production footprint and what we're doing on cost, the transformation plan that we put together last year, we said 1.4 billion personnel cost by 2022. We will extend the timeframe in which we are going to continue restructuring and also lower not only personnel costs, but look at all cost categories to 2025. So naturally that number will grow. In the short term, we're now executing the transformation plan. We did due to COVID delay one piece of that during the COVID months, the talks for voluntary severance packages, but that has now started to ramp up here in the summer. It doesn't make sense at this stage to put an additional number out there, but our future financial plans will then include further efficiencies on the cost side. What we also are doing in terms of capacities, transformation it's not something that is done in a year. We will evolve our operational footprint over many years. As Harald mentioned in the financial presentation, in Q2, we took three measures. We adjusted capacities on two plants in the Americas and we decided to put Hamburg up for sale. We will have constructive discussions with the labor side to look at our overall worldwide footprint and adjust as necessary. I think it goes without saying that with Daimler we do this in a socially responsible way. Thank you.